Unidentified Company Representative: Hello. Welcome to the ASUS Quarter 4 2024 Online Investor Conference. Today's conference will be held by ASUSTeK Computer co-CEO, S.Y. Hsu; and Samson Hu, alongside CFO, Nick Wu. The conference will be divided to 2 parts. In the first part, CFO, Nick Wu, will start by outlining our quarter 3 financial results. Next, our 2 co-CEOs will go over the operational strategies and business outlook for ASUS. For the second part, we will be conducting a Q&A. You are welcome to raise any questions you might have in the panel on the left-hand side of webpage. Questions will be collected and answered by our hosts. Let us start with the presentation from CFO, Mr. Nick Wu.
Nick Wu: Good afternoon, everyone. Thank you for attending our online investor conference. Now please direct your attention to Page 5 of our PowerPoint. On Page 5, we have our 2024 quarter 4 brand income statement. For quarter 4, our net revenue was TWD 141.4 billion, which is a quarter-over-quarter shrink of 10% and a year-over-year growth of 26%. This is aligned with our initial goals and internal expectations. Our gross profit was TWD 20.6 billion which is, again, aligned with our expectations. Our operating expenses was TWD 16.3 billion, which is again aligned with our investments into our R&D, into some projects that we have anticipating causing this rise in our operating expenses. For quarter 4, we have a special item that has a cost of TWD 5.3 billion in bad debt. If we subtract that part, our operating profit comes to TWD 993 million. Our net profit is TWD 1.6 billion, and our EPS was TWD 2.20 per share. So regarding the bad debt, that was because the sales of our servers to our Indian client, which was a subsidiary of Utah Data Center had some problems with payment delays. The payment delays per our internal policies and tax principles, we put forth our unreceived payments and listed them as bad debt in our quarter 4 reports. Per our communications with our clients, they have several financing options that are ongoing, and they anticipate that they will be able to have the financing be completed in order to pay for the old amount. We will work closely and check their progress and cautiously handle this matter. If we have any major updates, we will disclose the information as they become available, so that investors and our friends at media have something to reference to and protect the rights of our stakeholders. From a different perspective, if we eliminate this bad debt from our line item, ASUS' operating margin percentage can actually come to 4.5%. This is approximately TWD 6.4 billion in operating profit that was lost, which is aligned with our expectations and goals. Now for your attention, please turn to Page 6 of the PowerPoint. This is our 2024 brand income statement summary. Our net revenue for 2024 came to TWD 548.5 billion, which is a year-over-year growth of 22%. Our operating profit was TWD 27.4 billion, which is a year-over-year growth of 229%. Our net profit was TWD 31 billion, which is a year-over-year growth of 27%. Our EPS was TWD 42.3 per share. Just recently, on the Board member conference, we have a cash dividend proposal that was passed, which is poised to deliver TWD 34 per share, at about approximately 80% of profits. So that's something that we are very excited about. For the next page, we have Page 7, which discloses our non-op items. For interest income, we have TWD 720 million. For investment income, we have approximately TWD 1 billion. For exchange losses, that was TWD 658 million. So our total non-OP item summary comes to TWD 1.2 billion in gains. Now for Page 8, this is our quarter 4 brand balance sheet. Now what we're seeing here is that our cash equivalents, our account receivables and our inventories are more or less as we expect. Particularly for inventories, we have accrued value of TWD 141.8 billion. This reflects that for quarter 4, in preparation for certain geopolitical tariff policies, we are seeing that our retail channel partners are making inventory adjustments. That's the cause of this change. Next, we have our revenue mix by business group and region. The open platform accounted for 38%, systems accounted for 60% and AIoT 2%. Our breakdown by region sees Asia accounting for 44%; Americas, 25%; and the European region, 31%. For Page 10, we have our financial year revenue mix breakdown. By business group, we see that open platforms, 38%; AIoT was 2%, and systems was 60%. The yearly breakdown by region saw Asia contribute 7%; Europe, 29%; and America is 24%. And lastly, please refer to Page 11. This is our outlook for the first half of 2025. Currently, what we're seeing right now is a trend of AI shifting from cloud to edge-based AI. This is a trend that we fully intend on capitalizing because it presents a lot of opportunities. We're also seeing other market factors at play. Notably, we have tariff policies from large economies that are pending on the horizon. We also have potential positive growth momentum drivers from platform generation shifts. So overall, we believe that the market presents a lot of challenges and a lot of opportunities for the first half of 2025. For ASUS, we believe that we have a very agile and very innovative R&D capacity. We have very ambitious goals to capitalize on the fluctuations on the market. With aggressive investment, we do fully intend on attaining even better operating results. So from quarter 4 2024 to quarter 1 2025, we need to focus our attention on these market changes, notably tariffs, as well as the platform generation shifts mentioned earlier. So we do expect that going into quarter 1, there will be a higher amount of operating expenses leading to our more conservative overall company stance. But going to quarter 2, we expect our revenue and our operating momentum to accelerate significantly. So taking everything into account for the PC market, we expect that quarter 1 2025 will exhibit a quarter-over-quarter shrink of 20%. But going to quarter 2, that will become 30% growth quarter-over-quarter. For the component and server market segment, we expect that quarter 1 will have a shrink of 10%. But for quarter 2, that will become a growth of 10%. So those are our outlooks. Now to follow up, we will have our 2 co-CEOs go over our strategies and outlooks. Thank you.
Hsien-Yuen Hsu : Dear fellow investors and friends of the media, good afternoon. I would like to thank you for attending today's IR conference. I'm S.Y. Hsu, and I will go over our strategies and outlook. So 2024 was a pivotal year for ASUS. We have secured our market leadership position as we enter the AI era and deliver comprehensive AI solutions. We are also securing our position in the gaming market through ROG brand and tough lines of products to further secure our position in that gaming market segment. We are also seeing AI PCs significantly reshape the PC market, and ASUS is also leading in that trend by offering a comprehensive lineup of AI PC solutions to provide high performance and personalized solutions for the end customer. For multiples and graphics cards, even though that is a more -- a less turbulent market, ASUS nonetheless remains a leading player in that market. As for the AI infrastructure segment, we are also growing very rapidly. We have reached our 5-year 5x growth go ahead of time. Next page. This year, the release of DeepSeek was some point of a shock to the market, but we believe that long-term DeepSeek has a very positive influence on promoting generative AI because DeepSeek shows that inferencing cost can be reduced up to 100x. So this more approachable AI dynamic will lead to the proliferation of small-model AI solutions as both companies and personal end users start to tap into AI as an avenue for innovation and productivity. As customers start to no longer rely on cloud-based AI solutions, they will look to edge-based AI solutions to better control, monitor their data and accelerate influencing performance. And these are all positive factors that will drive growth for ASUS. As customers look to adopt more diverse solutions, we will tap into those needs. As a comprehensive AI solutions provider, we have all the solutions needed. We have very short reaction time to provide all of the solutions needed by our customers. We will be able to adapt to market trends and lead in market tech trends. ASUS is dedicated to promoting the use of AI in various areas and to further increase efficiency and efficacy. We hope that by leveraging generative AI, we can provide more value to our products and provide a better user experience. For example, on our notebook lineup, we have a StoryCube app, which is meant to be a one-stop shop to manage multimedia assets, helping them share and leverage these assets. We also have a separate app called MuseTree, which is aimed to helping users unleash their innovation. In terms of user journey, we have introduced an ASUS AI assistant -- AI agent that helps facilitate the shopping experience, both online and in physical retail channels. We are also introducing customer service AI to provide around-the-clock customer service solutions. AI solutions are not just used for our products and our customers. We are also using AI internally to enhance efficiency. Internally, we have something called the ASUS AI Hub, which is meant to be a comprehensive solution of multiple AI functionalities. It is a domain AI assistant for R&D, sales, procurement, legal and accounting. So this is a very comprehensive solution that covers a lot of the operational aspects of our company to help us become even more effective in operations. So for 2024, we leverage innovation to release a comprehensive lineup of AI PC solutions targeting a variety of different market segments, becoming a leading brand for Copilot+ PCs and attaining over 25% of the market share. We will continue to leverage our cutting-edge innovation and our user-centric design philosophy to accelerate the growth of AI PCs. We hope that by 2025, we will be able to attain over 30% of the market share in Copilot+ PCs. We've also recently released a more mainstream price lineup that covers everything from entry to pro user basis, ensuring that all users can find an AI PC solution that they like and can afford from ASUS. This is aimed at satisfying and meeting the needs of different market segments. Next page. For 2025, we will further expand our AI server market, particularly aiming at the European and U.S. markets. Just last year, we finished the setup of our American production line, which will vastly increase our service efficiency and competitiveness in the Americas. We are also furthering our edge AI and vertical market deployments to help our foothold in segments like retail, manufacturing, medicine and commerce. We have comprehensive solutions for storage, AI, high-performance computation and services to ensure that users get the best experience no matter what scenario they are under. We are working with collaborators and partners around the world to meet an even more diverse scenario demand from our users. For 2025, ASUS will continue to secure and expand our leadership position in the gaming market space. We aim to achieve an over 30% market share in the gaming PC segment. We have recently introduce some of our most innovative gaming products to provide a better experience for our players. They are featured -- they feature high-performance components as well as advanced cooling design to help them unleash ultimate gaming performance. We believe that by constantly challenging the limits of R&D and technology, we will be able to satisfy the needs of our gaming player base. We will continue to work closely with worldwide collaborators to create a diverse gaming ecosystem and offer more solutions and promote the growth of the market as a whole. Now we'll -- I will hand the mic over to Samson. Thank you.
Samson Hu : Good afternoon, everyone. I am co-CEO, Samson Hu. Now I will go over each of ASUS' business group and our strategies. So first, looking at the systems business group. We see that for quarter 4 2024, we achieved a 20% to 25% growth year-over-year. This was largely because of our fast innovation speed and all the factors at play. By having an accurate lineup of products that target market needs, we are able to outperform the market. In terms of shipment growth, we had achieved a growth of 10% to 15% growth year-over-year compared to the market average shrink of negative 0.4%. As for the gaming PC segment, we are once again in the leading position. We have achieved a market share of 30% for the second half of 2024. And our revenue also saw a 35% to 40% growth year-over-year, which shows repeatedly how dominant and how we are in the gaming market. And as mentioned earlier, we have some of the most comprehensive Copilot+ PCs available on the market. We were among the first wave of releases for Copilot+ PCs and attained a 25% market share, securing our leadership position. Our in-house -- our -- and for the Copilot+ PCs, their income share also accounts for the high single digits in terms of overall PC market, and it's continued to grow. Next page. For our open platform business group, we have also performed very well. For quarter 4 2024, we saw a year-over-year growth of 20% to 25%. In particular, the motherboards and graphics cards are growing steadily as we secure our market-leading position. For gaming and the creators and system integrators motherboard market, it saw a growth of 15% to 20% year-over-year, once again showing our high degree of competitiveness in the high-end market. As for the server business segment, we are also growing very quickly. Compared to quarter 4 2023, we saw a 100% year-over-year growth coming into quarter 4 2024. And the AI PCs also account for high single digit of our server product revenue mix. Next page. Our AIoT business group achieved over 50% year-over-year growth for quarter 4 2024. In particular, the NUC Mini PC lineup was one of our main revenue contributors. The ASUS NUC Mini PC lineup is integrated with AIoT retail -- integrated into AIoT retail channels and various other application scenarios such as commerce, retail, manufacturing and medicine. Now something I want to point out is that through integrating online and offline integration -- kiosk integration and parking app integration, we are driving the AI digital transformation in parking. Our solution is able to cut into the needs of the parking market, and we were able to be -- collaborate with TIMES Parking, which is a notable parking solution provider. We are aimed at -- we aim to use big data to help us provide differentiated and targeted services for our clients. Next page. For the gaming market, I think we are very positive. Our new generation of GeForce RTX 50 Series GPU, we were first to launch a 4-fan design, which was reviewed fairly positively. And in CES, we were also selected by Tom's Hardware as best of the show. Also ROG was also the first to introduce Ryzen AI MAX+ 395 device. It was the ROG Flow Z13, the laptop featured very high performance with excellent prospects in both gaming and productivity and reviewed very well. And it also sold very well after it's launched in February, showing that we do have a leading position in the high-performance gaming market. ROG is also working to expand our influence in the Middle East, which is a rapidly expanding gaming market. We partnered with the city of Qiddiya from the Middle East to present joint exhibitions in Taipei International Game Show, TGS 2025, where we delivered an immersive cyberpunk gaming experience. This joint exhibition showcases cutting-edge sports -- e-sports innovation, interactive challenges and a variety of exclusive ROG merchandise. So I'm sure that was very positive for attaining increased mind share. Next page. We are honored to celebrates our 10th inclusion on Fortune's World's Most Admired Companies list in 2025. We believe that we were recognized for our use of corporate assets, social responsibility and long-term investments. And in CES 2025, we were also proud to take home the highest number of awards at CES 2025 at an astounding number of 14 different innovation awards. In particular, the ProArt P16 laptop won the Best of Innovation in the Computer Hardware & Components category. In terms of sustainability and energy friendliness, we were also recognized with awards showing our dedication to both innovation and sustainability. Next page, please. Lastly, I would like to mention that we were also recognized by the Carbon Disclosure Project, with Leadership Rating level A in climate change for 2 consecutive years. Now we were also recognized for our water management practices with a Leadership Rating for water security. I think this demonstrates our commitment to environmental stewardship and best practices. I think a lot of these achievements that we have attained in the field environmental stewardship has also helped with increasing our market share and our mind share, helping to promote our influence in the market as a whole. Thank you.
A - Unidentified Company Representative: Once again, I would like to thank our presenters. Now we'll be entering the Q&A session. Please raise any questions you might have in the left-hand panel of the webpage. We will collect the questions and answer them. Okay. So we have the first question from Merrill Lynch. So we see from the revenue mix breakdown that the Americas accounted for 25%. So what are your responses to the tariffs?
Nick Wu: Okay. So responding to this question, I think that tariffs was something that got brought up last year at quarter 4 because this was something that we saw coming from quite a bit of way, which is why we already started making preparations at quarter 4 last year. This is something that I'm sure many of our peers in the industry also did. We started to make preparations by moving some of our inventory to our hubs in the United States, allowing us to offset some of the impact from the tariffs. So that was our first response. And secondly, ASUS is a brand which is to say that our manufacturing are conducted by our partners. Now our manufacturing partners right now are distributed throughout the globe, which is why we are also making preparations to shift some of our larger volume products to different production areas, and those preparations have already been made. Now as to which countries in particular to remove our production lines to, that's, of course, not up to us. That will depend on the actual tariff policies. What we can do is to ensure our flexibility to adapt to the market conditions. Now we do try to maximize the degree of impact that the tariffs have on the prices faced by the end consumers. This is something that we're very, very hard at. We do try to offer products with competitive performances at reasonable prices. So that's more or less our strategy.
Unidentified Company Representative: Okay. And the second question from the same source. Per your guide, you mentioned that for quarter 2 2025, you anticipate a 30% quarterly growth. So based on what positive factors do you anticipate such a high growth? A - Hsien-Yuen Hsu So behind our anticipation are several factors -- positive factors. The first is that, as everyone knows, after 2 years of lack of updates from NVIDIA, finally, the RTX 40 Series is being replaced by the RTX 50 Series. Now this was, of course, something that already started back in quarter 1. We saw some of the high-end products of the stack be released first. But because this is a generational shift, we do expect that graphics cards and laptops will not fully show their full effects in quarter 1 alone, which is why back in our CFO is mentioning report, he talked about how quarter 1 was more of a preparatory quarter. Now going forward, we have a new generation of GPUs that can be integrated into gaming notebooks or consumer PCs. That will definitely be a major growth driver. So that is the first positive factor. The second positive factor comes from AI PCs. We anticipate that going into quarter 2, a new platform for AI PCs will mean that the platform will become even more comprehensive. That is to say we will have more mainstream priced AI PC platforms be introduced in quarter 2. So that is another driving growth factor. But that is, of course, something that will take some time to show its full effect. Now a third positive factor is the shift from Windows 10 to Windows 11. So Windows 10 is, of course, going to end of life -- end of support for quarter 3 2025, meaning that this will push consumers to change their laptops from quarter 1 and gradually accelerating pressure quarter 2 into quarter 3. And as for the issue of the tariffs, I think that tariffs definitely are going to have some impact to our quarter 1 performances because that is, of course, the terms or a reflection of geopolitical tensions. It's also going to impact supply and supply lines across the industry. So after the fluctuations of quarter 1, we expect that quarter 2 will be much more stable, allowing the market -- or the industry as a whole to accelerate its growth. So taking all of these into account, we believe that quarter 2 will be a lot more significant than quarter 1 because of the growth factors are coming into play really in quarter 2.
Unidentified Company Representative: Okay. The next question is about the bad debt, and this is asked by both Merrill Lynch, by JPMorgan and UBS.
Nick Wu: Now I will give a collective response. Now so regarding our clients, it's actually new cloud data center in India. The client has been in operation for 4 to 5 years. We delivered the service to them from April to June of 2024. Now -- right now, what we're seeing that a lot of the payments are not following through, which is why per our internal control and tax policies, we listed the item as a bad debt. We believe that this client is an isolated incident. It accounts for approximately no more than 10% of our total server revenue mix. We are constantly in communication with the client. And per the information they provided, we see that they have several financing processes that are in progress, and they are optimistic that they will be able to secure the funds in the short term and to deliver on the payments, which is why, right now, we are also cautiously optimistic about this particular bad debt item. So that is my response.
Unidentified Company Representative: Our next question is actually a 2-parter. The first question is that for the generational change of our GPUs and the entire AI PC trend, what do you anticipate the product value and the operating marginal percentages of ASUS as a whole?
Hsien-Yuen Hsu : Okay. So I'm sure as everyone knows that NVIDIA has finally released a new RTX 50 Series of GPU. Now we're seeing that from the higher end, 5090s to the 5080s to 5070 Ti to 5070, if you look through the stack, you can see that this new generation of GPUs has improved quite substantially. Looking at the gaming performances, we see a twofold increase compared to the previous generation. As for the AI-related computation performance, there is also a threefold increase. Now the 50 Series has also come equipped with DLSS 4th gen assets, which offers, of course, even better performance for gamers, so even though the 5090's cost, I think, USD 50 more compared to the flagship, 4090 of last gen, but if you take into account the performance gains, the value proposition is actually very much still there. While the [3070] compared to the previous gen, even though the performance increased, but the price went down. So from really just a cost to performance value proposition perspective, the RTX 50 Series is very much positive. And in fact, just looking at quarter 1 alone, you see there's this clear over demand that is not being met by supply. And so I think this sort of positivity from the market and taking into account the increase in performance of the cards or into the operating margin for system integrators, I think it paints a very rosy picture overall.
Unidentified Company Representative : So the second part of the question is regarding the Ukrainian-Russian conflict. If they are able to reach a ceasefire, does ASUS plan to see some sort of rejuvenation in the Eastern European or the Russian-Ukrainian markets?
Hsien-Yuen Hsu: I'm sure that, right now, the world is paying very close attention to the developments in Ukraine. Setting politics aside, I think that if they are able to reach a lasting ceasefire, then that is going to be a very positive thing for the industry because both Russia and Ukraine has historically had a very high level of demand for higher-end products. There are a lot of power users in these 2 regions. And these power users have a high level of demand for higher-end motherboards, graphics cards or even gaming notebooks. So if the ceasefire is able to be achieved and the political tensions can be resolved, I think that will be a good news for the industry as a whole. Thank you.
Unidentified Company Representative: The next question comes from KG Investments. So from the perspective of the industry as a whole, what does ASUS expect of 2025 as a whole? Compared to your expectations for the PC segment and breaking down by gaming and consumer and business laptops, to what degree do you expect AI PCs to penetrate the PC market as a whole?
Hsien-Yuen Hsu : Okay. So I think for 2025, there are a lot of market research that shows there's probably going to be a low single digit, 3% to 5% increase. Internally, ASUS has a goal set that -- set above the market average. So starting with the gaming segment, I think as mentioned earlier, our internal target was set at 30% market share, while for the business segment, this is a market segment that ASUS has historically focused less on, but we've actually made some adjustments to our business units. So now we have actually set up dedicated teams for select countries in Europe and in the Asia Pacific. So by working with -- by having these dedicated teams in place, we hope that we can reach over 10% market share in the business laptop segment for these select countries. As for the consumer AI PC market, I think it's fair to say that because 2024 was the foundational year for AI PCs and we performed relatively well as an early entry -- with an early entry to the market, meaning that we will be able to further differentiate ourselves going into 2025 with over 25% market share. And we hope that going forward, we can continue to expand our market share. In fact, for 2025 or even 2026, we think that AI PCs will have a significant growth taking into the PC market as a whole because back in 2024, AI PCs only accounted for the low single digits, maybe 10% of the PC market as a whole. But for 2025, we do believe that penetration may reach as high as 25% to even 30%. For 2026, we are hopeful that this number can be further increased to even 60%. But I think that AI PCs, of course, benefits from the generative AI trend, meaning that an explosive growth may be coming, especially because DeepSeek was released earlier this year. The release of DeepSeek has had some very positive influences to the AI PC segment because before, I think some users may have tried their hands with AI PCs and found it not as impressive as they think. And that was because of a lack of software solutions because, really, the AI PC push was very much hardware focus at first. But in order to give a good user experience, you do need to have that software solution in place as well. And I think in the past, the lack of a software solution was largely because of the inferencing costs. So after release of DeepSeek, we do believe that because of the lower cost of the inferencing, up to even 100 fold decrease in inferencing costs, we are optimistic and think that we are going to see a lot of meaningful innovations that make use of low-cost generative AI in edge devices. So under this pretext, we are optimistic that these alternative AI will probably allow the AI PC segment as a whole to take off. Thank you.
Unidentified Company Representative: So the next question comes from UBS. So in regards to potential tariff issues, do you plan on adjusting your prices accordingly to maintain your operating -- your profit margins?
Hsien-Yuen Hsu : Okay. I'll answer this one this way. I think as mentioned earlier, we already had some contingency plans in place in regards to the tariffs. If your product is manufactured in a different country, it's going to have a different cost associated. And as we shift to new manufacturing lines in new countries, we are going to need new tooling and new testing setups that are going to end up costing extra. We will try to limit these costs to within a reasonable level. However, as we make further adjustments to production lines, it may become possible that we need to offset some of these costs to our clients. And right now, we are seeing that some brands are already starting to make adjustments to their retail prices to cover their costs. But for ASUS, we will do our best to limit the impact of these changes for our customers. We will try to maintain our offer as the most competitive in terms of both service quality and pricing.
Unidentified Company Representative: So the next question is asked by both UBS and JPMorgan. The question is about some of the positive and negative factors influencing the ASUS 2025 revenue goals. For example, if gaming PCs and graphic card demand remains strong, would that help with revenue? And can you talk about the potential differences between the first half and second half of 2025?
Hsien-Yuen Hsu: So once again, as mentioned earlier, we are seeing a lot of positive factors for the industry. The first was, of course, the release of the RTX 50 Series graphics cards from NVIDIA. This is, of course, a good news for both graphics cards and notebooks -- gaming notebooks. It's going to be a growth driver. And also it is going to be -- it is going to have a positive effect on our revenue or margin percentage. Now for the gaming notebook segment, I think as mentioned in our previous IR conference, we hope to attain a minimum of 30% market share beforehand. And so going forward, we do want to hold on to that 30% market share. So under this pretext, we expect that quarter 1 is going to be an adjustment phase. So the revenue for quarter 1 will be suppressed to a certain degree. But going into quarter 2, quarter 3 or even quarter 4, I think it will only get better and better. So throughout the fiscal year 2025, I think maintaining a 4% to 5% operating margin is definitely quite doable. So that's my analysis. Thank you.
Unidentified Company Representative: Next question comes from Merrill Lynch as well as a few others. Can you talk about the -- how much servers accounted for the revenue in quarter 4 and how you expect the server segment to grow for 2025? Furthermore, you've mentioned that you have production hubs in the United States for servers. Can you talk about that as well?
Hsien-Yuen Hsu: Okay. I'll cover this briefly. When talking about business units earlier, we talked about how for quarter 4 last year, the server segment alone accounted for a high single-digit number in terms of our in-house market -- in-house revenue share. But throughout the fiscal year 2024, the servers actually accounted for the low 10s in terms of our revenue mix. So going forward, I think we anticipate that servers will account for perhaps the low 10s to the mid-10s in terms of our revenue mix. So overall, we are optimistic about the growth as we continue to pursue our growth targets. Now in terms of inventory, this is something that some of you may worry about because across the industry is the AI server momentum still as strong as it was before because the release of DeepSeek, which cuts down on inferencing costs significantly may curb demand for AI servers. It almost seems that with this new DeepSeek dynamic in play, the inferencing and computational requirements are going to go down somewhat. But if we break things down, we can actually see that there are 3 different phases to training AI models. You start with a foundational AI model training, which is sometimes also called pretraining. For pretraining, this is something that DeepSeek improves upon very, very notably. So the pretraining computational requirements are going to be cut down. But after the pretraining, we have the post-training phase, which is where you take up additional model and apply it to specific domains with dedicated data sets for training. For this phase, the post training as well as the actual inferencing, otherwise known as task time training, these 2 phases actually do not have their computational requirements affected too significantly. In fact, we will even go so far as to say that the computational requirements for the 2 later phases are going to increase and even take over the computational requirements of the pretraining phase. So overall, we believe that for the pretraining phase, computation requirements will not disappear. It may be impacted somewhat, but it won't disappear, where at the same time, the post-training and task time training computational requirements are poised to grow very significantly. So overall, our expectations for the AI server segment is still very optimistic. We expect that going into 2025, our AI server growth targets, as mentioned earlier, is going to go from the low 10s of last year to the high 10s or mid-10s of this year in terms of our in-house revenue mix.
Unidentified Company Representative: So looking through the questions, I think we have answered most of the questions that you have raised. If you have any further questions, you are welcome to raise them to our IR team for more answers. Now we'll hand the mic over to our 2 co-CEOs for conclusion.
Hsien-Yuen Hsu : So once again, I would like to thank you all for your time. 2025 is going to be a challenging year for ASUS, but it is also filled with opportunities. Looking at the development of generative AI, it's actually very exciting in our company. We have the saying that now is the best time to innovate because as a new technology develops, it's going to fluctuate very significantly. And having a powerful in-house R&D team is going to allow you to provide differentiated products and services. So ASUS has made a lot of dedication to fine-tuning the training of our large language models, and we hope to leverage generative AI to add more value to our products. And besides product-related challenges, I think a major challenge comes from tariffs. I think, again, this is something that we have mentioned before. We -- our preparations are in place. Thank you.
Samson Hu: Okay. I would like to thank everyone for participating today. As mentioned throughout today's conference, we have 2 things that we are going to focus on. The first is the tariffs as a result of Trump's -- President Trump's second term. Now as mentioned earlier, we have had our preparations, contingency plans in place, so we can probably manage the impact to a level that is within our control. As for industry growth factors as a whole, there are a lot to look forward to. This includes, of course, the release of DeepSeek, which is an open source AI model that is highly efficient and much cheaper to run. And this will, of course, promote the proliferation of all sorts of smaller AI models on edge devices, for AI PCs and smartphones, IoTs and high PCs and mini PCs. All of these edge devices, there is a lot of potential here for generative AI to plant and to grow. Another positive factor is, of course, the release of the RTX 50 Series from NVIDIA or there's also the Windows 10 being retired and Windows 11 finally coming into play officially. Actually, there was another factor that's worth mentioning, which is the fact that a lot of the PCs that were purchased during the COVID pandemic era in 2021. And for 2025, a lot of those devices are set to be replaced, which is why having all these positive factors at play, we are hopeful that we can leverage our innovation to increase our lead in the market in both mind share and market share. As for AI server, which is something that a lot of you are concerned about, we've also covered this in length from pretraining to post training to task time training. All of these demands are still quite something to be expected in terms of computational requirements. So once again, I would like to thank everyone for attending today's IR conference. Thank you.